Operator: Welcome to the Wright Express Corporation first quarter 2008 conference call. (Operator Instructions) At this time for opening remarks and introductions, I’d like to turn the call over to Steve Elder, Vice President of Investor Relations.
Steve Elder: With me today is our CEO, Mike Dubyak, and our CFO, Melissa Smith. The financial results press release we issued early this morning is now posted in the “Investor Relations” section of our website, at wrightexpress.com. A copy of the release has also been submitted as an exhibit to an 8-K we filed with the SEC. We’ll be discussing a non-GAAP metric, specifically adjusted net income, during our call. Please see “Exhibit 1,” included in the press release, for an explanation and reconciliation of adjusted net income to GAAP net income. I’d also like to remind you that certain information contained in this call constitutes forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in today’s press release, our Form 10-K, which was filed on February 28, 2008, and our other SEC filings. While the company may choose to update forward-looking statements in the future, we specifically disclaim any obligation to do so, even if our estimates change. You should not rely on these forward-looking statements as representing our views after today. With that, I’ll turn the call over to our CEO, Mike Dubyak.
Michael E. Dubyak: The economy was challenging this quarter, but our business model continued to generate growth and profitability. Revenue and adjusted net income for the first quarter were in line with our guidance. Transaction growth in the existing fleet customer base has been gradually slowing along with the economy for more than a year, with the slowdown becoming more pronounced beginning in the second half of ‘07. The trend we’ve been seeing is that fewer vehicles are being added to existing fleets, and in some cases fleets are losing vehicles, which translates into fewer transactions. Volume growth from our existing customer base was negative in the first quarter. Driving overall transaction growth at a time when the existing customer base is actually shrinking means doing an excellent job on the front-end and in customer retention. The good news is that we are, in fact, performing well in marketing and sales, and customer attrition has remained low. So despite the economy, we continue to generate total volume growth in the mid single-digit range, and we believe we’ll be well positioned for increased growth after the economy picks up. For the first quarter, total fuel transactions increased 8% from Q1 of ‘07 to $64.8 million. This includes 2.2 million transactions in the Pacific Pride business. We continue to have a solid new business pipeline in both our direct and co-brand channels, and the team is doing a great job in converting the pipeline into new fleet accounts and active cards. The total number of vehicles we serviced grew 3.6% from Q1 last year to 4.5 million. In the mid-sized and large fleet markets, average vehicles increased 5% year-on-year. We have the potential to accelerate our growth in this segment, later this year, because of a major business win with the Department of Defense through a new relationship with Citi. We’ve been working for quite some time now with the General Services Administration to increase our penetration in the Federal fleet market. With this 47,000-vehicle account, the DoD is one of the first of several Federal agencies to select a provider for their fleet card solution, and we’re pleased they selected Wright Express. The RFP process for the additional agencies is still underway, but winning the DoD was a great start for us. Turning to other fleet segments, the vehicle count in our heavy truck business, which is primarily private carriers, was up 7% from Q1 last year. In small fleets, the number of vehicles overall was flat in Q1 compared to the sequential fourth quarter and up 2% from the first quarter of 2007. As in the past few quarters, growth in the Wright Express direct channel, where average vehicles grew 7% year-on-year, was offset by private label, where the small fleet vehicles were down 1%. If you look at the fleet industry on a macro level, the segment that offers us the most room for growth is small fleets. Our strong brand and front-end capabilities are working well for us in the direct channel. The strategic relationship we established last year with Citi will be important to our success in private label, and our joint implementation team is working on the Citi rollout. In the distributor channel, we’ve been focused on closing the acquisition of Pacific Pride, which took place as planned in the quarter, and on deploying the new distributor program we’ve developed for them. The more we get to know the people at Pacific Pride, the more we like the business. Pacific Pride was recently named by the Wall Street Journal as one of the nation’s Top 25 Franchise High Performers, delivering a broad range of support services to franchisees. It’s a great value proposition for the franchise distributors and their fleet customers. Approximately, two-thirds of the 150,000 retail gas stations in this country are controlled by distributors, and the Pacific Pride business reinforces our presence in this channel. It also creates opportunities to provide a broader range of services to the franchisees that primarily service small fleets and drive transaction processing revenue as a result. The main service we provide to private label relationships are transaction processing, complete back-end services and funding. While most of our relationships take advantage of all of these services, some choose to keep the funding aspect for themselves. Up until now, Pacific Pride has primarily provided transaction processing services, while their franchise distributors do the back-end servicing and funding. What we’re looking to do in the future is up-sell our back-end services and funding services to those franchisees, who are looking for added support in managing their fleet card portfolios. Another one of the goals in adding Pacific Pride as well as TelaPoint, which we acquired last year, was to further diversify our sources of revenue. As we reported last quarter, Pacific Pride is a profitable business that generates approximately 80% of its revenue from transaction fees, and we’re focused on improving fee revenue per transaction going forward. TelaPoint generates revenue from monthly software subscription fees and is showing good growth. We expect the top line for these two businesses to be roughly $14 million on a combined basis this year and slightly accretive to non-GAAP earnings. With those being the highlights on the front-end, I’ll speak for a moment on customer retention and the pricing environment. Again, our ability to satisfy customers and keep them using our cards is another key to sustaining our transaction growth. Involuntary attrition was up this quarter, reflecting the increased level of bad debt. We terminated more accounts as a result. Voluntary attrition, however, came in at a very low 1.7% versus 3.2% in Q1 a year ago. Our ability to attract and also retain our customers reinforces our belief that strong customer service and outstanding products not only differentiates us in the marketplace but are crucial to the success of our business model. In terms of pricing, higher fuel costs per gallon have been a fact of life for several years now, and the recent spike in prices is causing issues for our merchants. As a result, we anticipate that our net payment processing rate will decrease this year, which Melissa will talk about later on. Looking beyond the core business, we are constantly striving to create new products and pursue alliances and acquisitions that complement the model and also have the potential to diversify our revenues. The first of these was our MasterCard business, and Q1 was another good quarter for MasterCard. MasterCard purchase volume grew more than 36% from Q1 last year to $526 million. Volume in the quarter was particularly strong for the online travel industry and warranty customers, who use our single-use account product. Another product initiative is WEXSmart, our telematics offering, which is generating good customer response and steady gains in units sold. The fleets that tested the product earliest are coming back and ordering additional units. A strong marketer, Sheets, is rolling the program out on a private label basis. So we feel good about, where telematics is heading. We expect to see strong growth in WEXSmart unit sales from Q1 to Q2, although still off a small base. Another new program, our construction initiative, has been temporarily been put on hold. This program is in its early stages. And although we see long-term potential in this sector, we decided to slow down development, given the uncertainty in the economy and the internal resource constraints related to other priorities. Looking beyond these new programs to the longer term, we continue to pursue opportunities for alliances, mergers or acquisitions that can accelerate our growth and/or enhance our strategic position. In summary, Q1 was another quarter of consistent growth and profitability thanks to strength at the front-end of our fleet business, higher customer retention, and solid contributions from MasterCard. We expect the economy to remain challenging, but we’re confident that our business model will produce solid financial results in the quarters ahead. And we look forward to reporting our progress. With that, I’ll now turn the call over to our CFO, Melissa Smith.
Melissa D. Smith: We are pleased that Wright Express came through yet another quarter of economic uncertainty, reporting financial results within our guidance range. Credit losses were elevated by seasonality and continued to be further influenced by bankruptcies and a softer collection environment. However, our loss rate in the quarter of 28 basis points was consistent with our internal projections. I’ll get into detail in credit loss shortly. While transaction growth was slightly more suppressed than anticipated in our existing customer base, this was offset by an increase in fuel prices beyond what we anticipated. As Mike said, our business model continues to demonstrate predictability in an increasingly challenging environment. It’s continued to generate growth in total transactions and a consistently high level of customer retention. We will also start to see an enhanced benefit from recent interest rate cuts in the second quarter and through the rest of the year. Current rates on CDs have dropped from approximately 4.8% at year-end to a current rate of 3.6%. We believe this benefit should largely offset the elevated credit losses we anticipate for the year. Looking at our results in detail, total revenue for the first quarter of 2008 increased 29% to $93 million from $71.8 million for the first quarter of 2007. Net income to common shareholders on a GAAP basis was $14.5 million, or $0.36 per diluted share. This compares with $8 million, or $0.20 per diluted share, for Q1 last year. The company’s adjusted net income for the first quarter of 2008 increased 18% from last year to $17.4 million, or $0.44 per diluted share. This non-GAAP figure excludes an unrealized mark-to-market loss on our derivative instruments as well as the amortization of purchased intangibles. Adjusted net income for the first quarter of last year was $14.8 million, or $0.36 per share. Let’s discuss revenue growth in our fleet and MasterCard segments. The average number of vehicles serviced was approximately 4.5 million compared with approximately 4.3 million a year ago. This number was not affected by the Pacific Pride acquisition. As a franchise program, their fees are solely transaction-based and not vehicle-based. Total revenue in the fleet segment of our business grew 30% from Q1 last year to $87 million. Payment processing revenue in our fleet segment was up 31% to $65.1 million from $49.6 million in Q1 last year. The number of payment processing transactions increased 5% to 53.2 million and transaction processing transactions increased 23% to 11.6 million. The increase in transaction processing was due to the purchase of Pacific Pride in March. The total number of transactions processed this quarter increased 8% to 64.8 million from 59.9 million for the first quarter of last year. Our net payment processing rate for Q1 was down 12 basis points from the first quarter a year ago. The decline was due to two factors, higher fuel prices and increased rebates to large customers. Going forward, we expect similar decreases to our net payment processing rate for these same two reasons as well as anticipated pressure on merchant rates. The average retail fuel price was $3.26 per gallon, increasing 34% from $2.43 per gallon recorded for the same period last year. The average spend per transaction tracked the increase in the price of gas. The MasterCard segment contributed $5.9 million in total revenue in Q1 compared with $4.9 million a year ago, which is an increase of 21%. This growth was driven largely by MasterCard purchase volume, which increased 36% from $385 million in Q1 last year to $526 million this quarter. As Mike mentioned, we’ve been able to drive continued MasterCard growth in large part by selling our product into warranty businesses and travel companies. Increased spend at these customers has been partially offset by higher rebates. The increase in rebates was due to some of our larger customers hitting higher rebate tiers resulting in declining net interchange rates. Turning now to operating expenses, on a GAAP basis, the total for Q1 was $56 million. This compares with $45 million in the first quarter last year. The increase reflects a combination of higher salaries expense, operating interest, depreciation and amortization, and credit losses. Since credit quality is a topic that continues to be on everyone’s mind, we wanted to spend a moment discussing this more specifically. Our customers continue to pay us on average in less than 30 days in the same way these businesses pay most of their other suppliers. The businesses in our customer base are diverse based on geography and SIC and fuel is critical to their operations. During the fourth quarter of 2007, we experienced an increase in bankruptcies that we presumed would continue into 2008 in line with national trends. So far that assumption has held true. However, our fleet customers overall remain more than 99% current. We did see a shift in aging within the first quarter which we believe will offset the seasonal benefit we typically see in Q2. That leads us to believe losses for the year will move to the high end or slightly above our five year range of 11 to 22 basis points. While we cannot totally limit our exposure to losses in a period of economic decline, we do have a positive history of continued customer payment in economic downturns. On a total basis including both fleet and MasterCard, credit loss in the first quarter was up $4.1 million from Q1 last year to $10.4 million. Loss rates in the fleet segment were 5 basis points higher than Q1 last year at 28.1 basis points of loss as a percentage of payment processing expenditures. Operating interest expense for the first quarter was up by $1.9 million from Q1 last year to $8.8 million. The increase in operating interest was due to higher average debt levels, which was up 32% on average from last year due to the higher price of fuel. For the quarter, our interest rate declined approximately 25 basis points from last year to 5%. The interest rates on certificate of deposits have come down with the interest rate cuts over the past few months. However, they have not come down quite as quickly as LIBOR or other benchmark rates. Going forward, we anticipate benefiting from the lower rates but it will take some time to work into our certificate of deposit base. Approximately $175 million, or one-third of our CD portfolio, will mature during Q2. As this happens, the advantage we receive from the reduced rates should help to offset the increases we anticipate in elevated credit losses. The increase in depreciation and amortization for the first quarter was primarily the result of new internally developed software placed in service and the purchase of TelaPoint last August. We expect depreciation to continue increasing moderately, reflecting our recent increase in capital investment. As you will see on the reconciliation of adjusted net income to GAAP net income in the press release, we had approximately $870,000 of amortization this quarter related to the purchases of TelaPoint and Pacific Pride. Salary and other personnel costs were $17.2 million in the quarter, up $1.1 million from last year. This increase was primarily related to stock-related stock compensation as well as the addition of TelaPoint employees. Our average head count for Q1 was essentially flat compared to last year at 702, including the employees who joined us from TelaPoint and Pacific Pride. We’ve seen a shift in personnel towards our sales and marketing group which has lifted the average salary. Our effective tax rate on a GAAP basis was 37.9% for the quarter compared with 36.3% for Q1 a year ago. Our adjusted net income tax rate this quarter was 37.5%, the same as Q1 last year. Turning to our derivatives program, during the first quarter we recognized a realized loss of $7 million before taxes on these instruments and an unrealized loss of $3.6 million. At this point, we’ve completed hedging 90% of our anticipated earnings exposure through 2009 and we have partially hedged the first two quarters of 2010. The weighted average prices for 2008 are locked in between $2.54 and $2.60 and the range for 2009 is locked in at $2.79 to $2.84. The two most recent purchases both had prices that were approximately $3.17 to $3.22. Due primarily to higher fuel prices at the end of the quarter, our accounts receivables balance net of reserves for credit loss was $1.3 billion compared with $1.1 billion at December 31. All of this increase was offset by increases in our accounts payable and operating debt. Our financing debt balance increased by $47 million from approximately $200 million at the end of last year to $247 million. We had two significant uses of cash during the quarter. The purchase of Pacific Pride for $32 million and share repurchases for $29 million. We concluded Q1 with a leverage ratio of approximately 1.7 times. We continue to target leverage between 1.5 and 2 times and will allocate our free cash flow to its best use whether it’s debt pay down, share buybacks, additional acquisitions or additional internal reinvestments. Capital expenditures were $4.3 million for the quarter reflecting our continued reinvestment in our core product offerings and strategic diversification. We expect our level of investment to ramp up in 2008 reflecting the work required for the Citi conversion. We anticipate total CapEx to be between $24 and $27 million in 2008. We continued executing on our share buyback program this quarter, repurchasing 963,000 shares at a total cost of approximate $29 million. This brings the cumulative total purchase since our Board authorization in February of 2007 to 2.1 million shares or approximate $67 million. I’ll conclude with some major assumptions and our financial guidance for the second quarter and full year 2008. Let me remind you that our forecast for these periods are valid only as of today and are made on a non-GAAP basis that excludes the impact of non-cash mark-to-market adjustments on the company’s fuel price related derivative instruments and the amortization of purchased intangibles. Although our share repurchase program remains in place, we have not included any potential EPS upside from this. The fuel price assumptions are based on the applicable NYMEX futures price. For the second quarter 2008, we expect to report revenues in the range of $100 to $105 million. This is based on the average retail fuel price of $3.58 per gallon. For the full year 2008 we expect revenues ranging from $400 to $410 million based on the average retail fuel price of $3.42 per gallon. As for earnings, for Q2 of 2008, we expect to report adjusted net income in the range of $21 to $22 million or $0.53 to $0.56 per diluted share. For the full year 2008, we expect adjusted net income in the range of $84 to $87 million or $2.09 to $2.17 per diluted share on approximately 40 million shares outstanding. With that, we’ll be happy to take your questions. 
Operator: (Operator Instructions) Your first question comes from Abhi Gami - Bank of America.
Abhi Gami - Bank of America: The DoD win was very interesting. Was this a competitive take-away? And was this one off of the original GSA RFP or is it something you’re chipping away at? Was it a separate deal? I thought a competitor or US Bank had won the original GSA contract.
Michael E. Dubyak: Abhi, this has been a couple of year process with the GSA under their new master contract. They awarded master contracts to different people that can satisfy T&E purchasing cards and fleet cards. You have to be able to do all three to get a master contract. As I mentioned, our relationship with Citi is a different relationship with Citi in this particular area versus the private label where we are one of their options to supply the fleet card solution as they supply purchasing and T&E. So once they got the master contract, then the individual departments can go out and start doing their RFPs, if you will, to see whom they want to bring in for purchasing, T&E and fleet. So the DoD was really one of the first large departments to do an RFP on the fleet card side. There will be others coming during this year, because by the end of this year, most of these larger departments have to be converting over to whoever wins, either the incumbent or someone like Wright Express who wins the bid for this new contract. So DoD was one of the first, we won that bid as part of this whole process and that will start, actually, in December of this year because cards probably won’t be cut until November. But in December is when we see transactions with DoD.
Abhi Gami - Bank of America: Do you work with Citi exclusively on future procurements or are you free to team with other major banks?
Michael E. Dubyak: No. We’ve teamed with Citi and that’s our only partner on this. Let me just mention that we do fund the receivables and do everything on our own. Citi just happened to be the master contract holder and they supply all three card products. But we are their partner and supplier of total services on the fleet card program.
Abhi Gami - Bank of America: And is that exclusive, then, for future procurements as well between you and Citi, will they always use you as the fleet component?
Michael E. Dubyak: It’s not exclusive. They have other options if they want to use those so it’s not an exclusive arrangement with us. But we’re only partnering with them on it, though.
Abhi Gami - Bank of America: Also on DoD, are you building in or do you need to build in additional costs or expense assumptions to ramp this up or is this pretty much standard business for you?
Michael E. Dubyak: Well, the basic products and services are our standard. The on boarding, there’s some complexity because within these departments they have different sub-departments and whatever. So the on boarding, which is like taking on a major fleet, is the most work that we have to do. So we’ll be doing a lot of work late summer, early fall to get ready for that implementation.
Melissa D. Smith: It’s not a significant cost, though, Abhi.
Abhi Gami - Bank of America: Any planned update on the timing of the on ramping of the Citi contracts; I think the Shell and Sonoco deals?
Michael E. Dubyak: Yes. All we can say, as I said in the prepared notes, we’re working with their teams and other teams to get ready for this. There’s a chance we start part of the program later this year but when we talk about the conversions, those will probably be in the first half of next year.
Abhi Gami - Bank of America: Melissa, can you give us any more insights into the exact cost of the ramp-up?
Melissa D. Smith: I wouldn’t say anything more than we did in the last call. It’s about 100 people and we’re still anticipating limiting it to a couple month’s GAAP prior to the conversion. And other than that, this year is mostly capital costs that we’ve baked into the guidance that we gave you in the capital number.
Operator: Your next question comes from Tien-Tsin Huang – JP Morgan.
Tien-Tsin Huang – JP Morgan: How do the other agencies compare in terms of size to that of the DoD fleet portfolio and how do you expect some of those RFPs to rollout?
Michael E. Dubyak: Yes, they’re going to be competitive, Tien-Tsin. You’ve got everything from thousand vehicle sized departments up to one very large one that’s around 200,000 vehicles and everything in between. So we’ll be competing for most of these and but they’re all going to have their own unique requirements but we think we can be very competitive but it’ll be a very competitive process.
Tien-Tsin Huang – JP Morgan: Would you expect those awards to rollout throughout this year or could some of it get pushed out until next year?
Michael E. Dubyak: No. I believe that they have to have the awards and the cards converted by December 1.
Tien-Tsin Huang – JP Morgan: On the funding cost side, I heard that one-third of the CD’s are going to mature in 2Q. How about, as we go through the balance of the year, how should that roll into the P&L, maybe is there a way to give the average duration of the CDs?
Melissa D. Smith: Yes, the average duration is eight months.
Tien-Tsin Huang – JP Morgan: And that will as we get more rate reduction used or changes in rates, obviously that will have some impact as that rolls forward.
Melissa D. Smith: It will. And as I said earlier, we aren’t seeing quite the drop in the CD rates as you’re seeing in other benchmark rates but it’s definitely lower than what we have in the composite now. So as those balances roll off, they’re getting replaced by significantly lower rates.
Tien-Tsin Huang – JP Morgan: The change in your guidance and the outlook, I think it was $0.04 at the high end. Is there a way you can help us break down what drove the change, it sounds like it has something to do with the higher rebates as well as maybe a little bit on the loss side as well?
Melissa D. Smith: Yes. There are a couple of factors that drove it. Primarily, as I said, we’re getting a little bit less business on the existing customer base than we had projected and so that’s factoring into our guidance. And the second thing is what’s happening from a credit loss perspective. We had expected increased bankruptcies throughout the course of this year. But we’re seeing more softness and late stage collections and a little bit of a shift on that 1% of our balance that isn’t current into later stages. And so we’ve increased that expectation a little bit of what the loss rates are going to be for the full year.
Tien-Tsin Huang – JP Morgan: Which is why you said, it sounds like we’re not going to get the normal sequential down tick in losses in 2Q? It will look more flat?
Melissa D. Smith: Correct.
Operator: Your next question comes from Anurag Rana - KeyBanc Capital Markets.
Anurag Rana - KeyBanc Capital Markets: The Citi conversion, should we start modeling additional transactions going out in the first quarter of next year or should we look at it more of a second quarter thing?
Michael E. Dubyak: Yes, I would say the bulk of what we’re talking about on conversions will be in the first half but we’re still working through all those details with all of our parties. So it’s hard for me to give you that until we get through some of these phases of high level design to low level design and all of the requirements to really understand what it takes and how we’ll phase this or roll this out. And a lot of that is still in progress. So we know there’s very little impact to this year. As we know more about next year, we’ll provide that.
Anurag Rana - KeyBanc Capital Markets: And the DoD conversion, it seems that’s going to hit more the payment processing line. Could you give any ideas as to how many transactions those are?
Melissa D. Smith: There’s 47,000 cards associated with that and typically the government has slightly less transactions per vehicle than the rest of the average, and as Mike said, there’s only going to be about a month of activity.
Anurag Rana - KeyBanc Capital Markets: Are you looking at any specific SIC Codes in terms of economic weakness? Because I also saw that your fuel consumption or gallons per payment fell down to 20.1 gallons. It’s some of the lowest I’ve seen in the last, I think, five, six quarters.
Melissa D. Smith: Yes. We saw an increase in the number of less than 10 gallon transactions this last quarter. We believe that that has something to do with elevated price of fuel, is that people are filling up more frequently similar to what we saw after the hurricane period a couple years ago. So that’s one thing. And then to answer your question on SIC Codes, in general we’re seeing just a more enhanced deterioration just recently on the residential sections of the contractor line of business and that’s pretty recent. Little bit more over the road, I should say, heavy truck SIC Code, which is a small part of our business right now. But those are two areas that we’re focusing on probably more than others.
Operator: Your next question comes from Tom McCrohan - Janney Montgomery Scott.
Tom McCrohan - Janney Montgomery Scott: Mike, when you were talking in your opening remarks about certain vehicles’ weakness, some fleets losing vehicles, a few vehicles being added, are you seeing any pockets of strength with any particular industry segments that are offsetting that?
Michael E. Dubyak: No. I don’t think we have good statistics. We’re probably seeing it more the losses on the small end. We’re seeing it probably in the construction area, in transportation area, and some geographic in the southeast part of the country. But I can’t say, we can say that in particular, there are areas that are growing. There are pockets but I can’t give you specific SIC Codes. And we’d probably see that more in the mid to larger part of the marketplace.
Tom McCrohan - Janney Montgomery Scott: When you mention in your press release about slower fuel purchasing activity, is there a specific metric that you’re looking at because transactions were up, I know average gallons per transaction was down, but is there any one metric that you’re particularly pointing to when you mention that there’s lower fuel purchasing activities?
Michael E. Dubyak: Well, I think we’re talking particularly about the existing customer base? So we, in the past prior to 2007, we would see the existing customer base grow pretty much with GDP, 3%, 4%, 5%. Last year that slowed and there was no growth. And then what we saw in the first quarter, we actually saw it go negative where existing customers, their growth of vehicles actually went down, which means their transactions would coincide with that because we look at three key things. What are we doing on the front-end? How is our existing customer base performing? And what are we doing on attrition? So the front-end and the attrition, as we announced, we were very strong. We feel good about that. But the economy is affecting the existing customer base and I think that’s where we saw the slowdown.
Tom McCrohan - Janney Montgomery Scott: Melissa on the payment-processing rate, should we expect it to continue at current run rates of 1.87 or continue down with pressure on payment processing rates going forward?
Melissa D. Smith: We’re expecting continued downward pressure year-over-year. Similar to what you saw in the first quarter for the full year.
Tom McCrohan - Janney Montgomery Scott: And did you disclose the charge-offs? An absolute dollar amount of charge-offs this quarter? The implied charge-offs looked like they actually went down sequentially.
Melissa D. Smith: Net charge-offs are around $5.6 million, so it’s up a little from the last quarter, Q4, on a net basis.
Operator: Your next question comes from Pat Burton - Citi.
Pat Burton - Citi: My question goes back to the discount rate. Could you go into a little bit more detail there? Is it tiered pricing with the merchants so the more dollar volume that goes through, you effectively get a lower discount rate? Is that how that’s structured?
Melissa D. Smith: There are a couple of things that have impacted the quarter. One is that we have some hybrid contracts in place where it’s a fixed transaction fee and then a smaller percentage fee. So it’s the price of gasoline that made the percentage decline. So that was one component. And the second thing that impacted it was an increased rebate stacked to fleet customers and some of our partners within the first quarter.
Pat Burton - Citi: And the increased rebate was just because there were greater dollar volumes at the point of sale because of the rise in price?
Melissa D. Smith: Not on the fleet side of the business, they were more about just contract renegotiations on the MasterCard side of the business that is true. So you’d see the MasterCard payment processing rate went down as well and that was because those customers were hitting higher rebate levels.
Pat Burton - Citi: In terms of the rate of growth on the MasterCard side which was, again, very impressive, how would you anticipate that for the rest of the year?
Melissa D. Smith: We think it will be down a little over the course of the year from what you saw in the first quarter but it’s still a significant growth rate.
Pat Burton - Citi: So north of 20% for the remaining three quarters of the year, are you comfortable with that?
Melissa D. Smith: At this point, yes.
Operator: Your next question comes from Robert Dodd - Morgan Keegan.
Robert Dodd - Morgan Keegan: Back to MasterCard, you highlighted online travel as being a source of strength in the quarter. Are you seeing any signs early or otherwise, of anything there? You just mentioned that you expect the growth rate to slow somewhat. Is it tied to travel or any other particular areas where you’re seeing some softness in that?
Melissa D. Smith: Related to the online travel, we’ve also seen growth as we’ve continued to add additional pieces of spend within some of those companies. So I’m not sure that we would necessarily see what you’re talking about if there was a decline in the travel side because we’re continuing to add components of business.
Operator: Your last question comes from Greg Smith - Merrill Lynch.
Greg Smith - Merrill Lynch: The pricing changes and the increased rebates, were there any renegotiations that have occurred recently in light of the higher fuel prices?
Melissa D. Smith: The renegotiations, if you’re talking about the fleet rates, were with specific fleet customers so we are renegotiating on a regular basis with some of our larger customers as we have continued to re-up or at higher rebate levels. And that is consistent with what you have seen in the past. The part that Mike said that was forward looking that we are factoring into our guidance in the future was to anticipate that we’re going to see some more pressure from the actual merchant, itself, as we renewed those contracts.
Greg Smith - Merrill Lynch: Would you consider this normal course of business or is this because fuel prices are higher and for whatever reason there’s more pressure on them and then that leads to the question, does this make you think about changing your hedging strategy in any way to match up with some of this?
Michael E. Dubyak: Well, I think that there is more pressure on them because of this accelerated increase in the price of gas. So we say that we always have a normal amount of merchant relationships that are being renegotiated every year. I would say there was an increase in the numbers that we’re talking to today so I think that is what we’re talking about and we see options like looking on a selected basis to use more of our hybrid pricing which has, I think, somewhat of a win-win. It helps to give them this hybrid variable and fixed transaction. It takes us away from pure variability on the price of gas. And that does have some impact, and then if you talk about our hedging strategy, the variable component of that we still look at being hedged. But it reduces the total amount that needs to be hedged because of the transaction fees. So it builds in a little bit of a transaction-processing piece to our merchant rate and it reduces the amount that we have to look to hedge, to keep that at least protected.
Greg Smith - Merrill Lynch: Melissa, can you just remind me of your total funding sources? Generally, how much is CDs, how much is money market deposits and whatever else is in the mix, just rough percentages how you’re actually funding everything.
Melissa D. Smith: Well, we had a little over $500 million in deposits at the end of December, about $100 million in borrowed Fed funds, which was the inter bank funding. And we have lines at about $165 million. So we had about $100 out at the end of March. And then the rest is being funded through accounts payable back to the merchant on the operating side and then we had $247 million worth of financing debt outstanding.
Operator: Mr. Elder, it appears there are no further questions.
Steve Elder: Thanks to everyone for listening to this quarter. We look forward to talking to you again next quarter. This concludes our call.